Operator: Greetings and welcome to the Gulfport Energy Corporation's Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jessica Antle. Thank you. You may begin.
Jessica Antle: Thank you and good morning. Welcome to Gulfport Energy Corporation's third quarter 2023 earnings conference call. I am Jessica Antle, Vice President of Investor Relations. Speakers on today's call include John Reinhart, President and CEO, Michael Hodges, Executive Vice President and CFO. In addition, we also have Matt Rucker, Senior Vice President of Operations, who will be available for the Q&A portion of today's call. I would like to remind everybody that during this conference call, the Company may make certain forward-looking statements relating to the financial condition, results of operations, plans, objectives, future performance and business. We caution you that actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found in the Company's filings with the SEC. In addition, we may reference non-GAAP measures. Reconciliations to the comparable GAAP measures will be posted on our website. An updated Gulfport presentation was posted yesterday evening to the website in conjunction with the earnings announcement. Please review at your leisure. At this time, I would like to turn the call over to John Reinhart, President and CEO.
John Reinhart: Thank you, Jessica, and thank you to everyone for listening to our call. I'm pleased to provide highlights today on the Company's third quarter results as we continue to make steady progress; demonstrated by our strong production profile, robust margins, improvement in operational efficiencies, high-quality inventory additions, and the continued focus on returning capital shareholders through our common share repurchase program. Moving to our third quarter results, our financial performance remained strong, generating $160 million of adjusted EBITDA and $49 million of adjusted free cash flow, excluding discretionary acreage acquisitions. Our average daily production totaled 1.056 billion cubic feet equivalent per day, ahead of analyst expectations, and driven by improved cycle times, accelerating the timing of wells brought online in the quarter, as well as the continued strong well performance from our development programs. During the third quarter, the Company spud five gross wells, all within Ohio, including two Marcellus wells in Belmont County. This Marcellus pad was drilled and completed during the quarter, marking the Company's first operated Marcellus development on our stack pay acreage. We began flowback operations in late October and look forward to further discussing the results as well as potential future Marcellus development as we gain meaningful production history from the current wells. As a reminder, we see significant upside value here, with our Marcellus acreage holding the potential to unlock approximately 40 to 50 wells of incremental inventory for the Company. On the completions front, we brought online five gross wells during the quarter, all targeting the Utica. These wells were turned in-line 17 days ahead of our original budget. We continue to deliver strong operational execution and realize consistent cycle time improvements on both the drilling and completions front in the third quarter. On the drilling side, we experienced a 13% quarter over quarter improvement in footage drill per day. And when compared to year end 2022, we have increased our footage drill per day by over 45%. The team recently completed the most efficient well in Gulfport's Utica history relative to lateral lengths greater than 15,000 feet, achieving a record 22 day spud to rig release performance on a Utica well that reached approximately 21,000 feet of lateral. On the completion side, we continue to see significant efficiency improvements in the frack and drill out phases of our operations, improving average frack pumping hours per day by 16% in the third quarter and average plugs drill per day by almost 90%. Resulting in quarterly average of 18.4 frack pumping hours per day and 35 plugs drilled out per day. These efficiencies and corresponding cycle time reductions play an integral role in our corporate level returns, significantly improving turn in line timing and ultimately accelerating cash flows. Driven by the team's outstanding performance with driving efficiencies up and costs down, we forecast the Company has realized over $35 million in capital savings on our full year 2023 drilling and completion budget. We believe these improvements will result in lower maintenance capital expenditures going forward and translate into meaningful capital efficiency gains for our 2024 program. As we have mentioned before, we continue to focus on our pressure managed production approach, which is generating strong results with minimal average initial pressure drawdown. In the Utica, our recent wells continue to outperform and we currently forecast the average EUR estimates for our 2023 development program will be in excess of 2.2 billion cubic feet per 1,000 feet of lateral, representing a 60% improvement since 2020, as shown in our investor presentation on slide 13. We firmly believe our development planning with optimized well spacing, enhanced stimulation treatments and pressure managed flowback will lead to longer production plateau periods, shallower declines, improved EURs and improved economics and capital efficiencies relating to right sizing of production facilities and compression. In the SCOOP, our development program also continues to respond very positively to our pressure managed production approach with higher than expected oil yields and lower average initial pressure drawdown. Looking at slide 14 of our investor deck, you can see our program average EUR per 1,000 feet of lateral in the SCOOP has improved by over 80% since 2020. Our operation and reservoir teams have been actively reviewing our historical development practices for improvements and we are confident in our ability to take our Utica efficiency gains realized this year and apply meaningful efficiency improvements to our upcoming development program in the SCOOP. In terms of current activity, as noted above, our operating team's high level of efficiency and cost reduction focus has resulted in over $35 million in capital savings year to date and we have elected to reinvest these savings into the development of our high quality assets. As mentioned last quarter, through our ongoing maintenance leasing efforts, applying a portion of these savings has facilitated the Company's ability to improve our average working interest in nearly every well in our 2023 program. This results in an increase in our net well counts and further contributes to our expected production and drilling and completion capital results for the year. In addition, we have elected to accelerate future planned activity, predominantly focused in the liquids area of both the Utica and the SCOOP during the fourth quarter of 2023. Specifically, the Company is accelerating planned drilling operations of four wells in the Utica, two of which will be completed in the fourth quarter. Also commencing drilling of a three well SCOOP pad and lastly, initiate fracturing operations on a multi-well pad in the Utica. Even with this acceleration of activity, the benefit of which will be realized in 2024 and beyond, we are pleased to be in a position to further lower our 2023 total capital budget while also increasing our 2023 production guidance. Again, highlighting the strong operational performance our team is delivering quarter over quarter. We now forecast a full year drilling and completion capital guidance range of $385 million to $395 million and full year production to be in the range of 1.045 billion to 1.055 billion cubic feet equivalent per day, an increase of approximately 7% when compared to full year 2022 production levels. Turning to land expenditures, we lowered our 2023 guidance and now plan to allocate $50 million to $60 million on maintenance, leasehold, and land investment. This spend is focused on bolstering our 2023 and 2024 drilling programs and facilitating increases in our working interest and lateral footage in units we plan to drill near term. In addition, we announced last quarter we continue to actively pursue attractive discretionary acreage acquisition opportunities funded through our robust adjusted free cash flow. Through September 30th, 2023, we have invested roughly $25 million in these acquisition opportunities, primarily targeting the liquids rich area of the Utica. These acquisitions expand our high quality resource depth, which is predominantly held long-term by production and will provide further optionality to our near term development plans. We continue to forecast approximately $40 million of discretionary acreage acquisitions during 2023 with expectations to add roughly 1.5 years of core liquids rich drilling inventory at our current development pace with an average cost of approximately $1.5 million per location. In closing, looking ahead to 2024, our strong financial foundation, improved capital efficiency, lower cost structure, and strong well performance provides us with significant flexibility as we finalize our plans for our 2024 development program. We look forward to returning to our liquids rich scoop asset and given the increase in liquids pricing we have witnessed during 2023, we have significant optionality in the Utica to continue development of our natural gas acreage while also augmenting our development plan with several liquids rich Utica locations as part of our '24 program. The Company will continue to prioritize the return of capital to our shareholders through common stock repurchases as evidenced by the recent expansion of our share repurchase authorization by 63% and plan to continue allocating substantially all of our adjusted free cash flow to common share repurchases after discretionary acreage acquisitions. Now I will turn the call over to Michael to discuss our financial results.
Michael Hodges: Thank you, John, and good morning, everyone. During a quarter with continued volatility in the commodity backdrop, the Company achieved strong results in almost every area of the business. Net cash provided by operating activities before changes in working capital totaled approximately $147 million during the third quarter, more than funding our capital expenditures and our common share repurchases while maintaining our balance sheet strength. We reported adjusted EBITDA of $160 million during the quarter and generated adjusted free cash flow of $49 million for the same period, better than analyst expectations driven by our strong production and operating cost performance. With less than 20% of our combined base DNC and maintenance leasehold and land spending left to occur in 2023 and an improving commodity price environment as we exit the shoulder season, we forecast meaningful cash flow generation during the fourth quarter, providing a strong tailwind for our business as we enter 2024. Production costs for the third quarter totaled $1.12 per million cubic feet equivalent, better than analyst consensus expectations and below our full year 2023 guidance range. The improvement is primarily a result of lower per unit LOE and midstream expenses driven by the Company's continued focus to optimize and reduce costs in the field and our strong production performance driving our per unit expenses lower. For full year 2023, we reaffirm our per unit operating cost guidance, which includes LOE, midstream, and taxes other than income of $1.16 to $1.24 per Mcfe and currently anticipate averaging at the low end of the annual guidance range. The Company maintained our top quartile G&A during the quarter with our recurring cash G&A totaling $0.12 per million cubic feet equivalent. Our all end realized pricing for the third quarter was $2.84 per Mcfe, including the impact of cash settled derivatives. This realized unit's price is $0.29 above NYMEX Henry Hub Index price, highlighting the benefit of Gulfport's diverse marketing portfolio for natural gas and the pricing uplift from our liquids portfolio in both of our asset areas. We realized cash hedging gains of approximately $49 million for the quarter, demonstrating the strength of our hedge book and its impact on our cash flows. Our natural gas price differential before hedges was negative $0.57 per Mcf compared to the average daily NYMEX settled price during the quarter, driven by demand seasonality resulting in pressure on local pricing, especially in the Northeast. We expect our fourth quarter differential to narrow as we enter the colder months of the year, and we reaffirm our natural gas differential before hedges, guiding to an average of $0.20 to $0.35 per Mcf below NYMEX for the full year, with expectations to average toward the wide end of the provided range on a full year basis.  In addition, to reflect market impact to pricing realized to date and the Company's expectations for the remainder of the year, we have revised our realized oil differential guidance and anticipate realizing $3.50 to $4.50 off WTI for the calendar year. On the capital front, incurred capital expenditures before discretionary acreage acquisitions totaled $81.4 million relating to drilling and completion activity, and $8.4 million related to maintenance, leasehold, and land investment.  Our operational efficiency improvements, robust hedge position, healthy balance sheet, and strong cash margins provide significant flexibility as we enter 2024 and plan our activity in what we believe will be a stronger commodity price environment. Before I move on to discuss our hedge book, I wanted to take this opportunity to recap the outstanding financial performance of Gulfport this year. As John mentioned, we raised the midpoint of our full year production guidance and lowered the midpoint of our full year capital expenditure guidance as part of our earnings announcement yesterday. We now expect to deliver 3% more production for 2023 than our original guidance at a lower level of capital expenditures than originally announced and with 4% lower cash operating costs than initially indicated.  The financial results our team has delivered for 2023 have been exceptional and we are poised to capitalize on the improving gas macro in 2024 and beyond. With respect to our current hedge position, we are pleased to have downside protection covering roughly 550 million cubic feet per day in 2024 at an average floor price of $3.77 per Mcf. We believe both the scale and quality of our natural gas hedge book for 2024 provide a de-risked foundation for free cash flow generation that differentiates Gulfport from its peers.  We have also begun opportunistically layering in hedges for 2025 and currently have natural gas swap and collar contracts totaling approximately 250 million cubic feet per day at an average floor price of $3.89 per Mcf. On the basis front, we have locked in around 40% of our remaining 2023 natural gas basis exposure and a similar portion of our anticipated 2024 exposure, providing pricing security at our largest sales points in addition to the risk mitigation offered by our diverse portfolio of firm transportation.  We continue to believe there are better days ahead for natural gas and we believe Gulfport delivers a differentiated combination of free cash flow generation capacity and downside protection over the next two to three years. Turning to the balance sheet, our financial position remains very strong with trailing 12 months net leverage exiting the quarter at 0.9 times and our liquidity totaling $746 million, comprised of $8.3 million of cash plus $738.2 million of borrowing base availability.  We recently completed our fall borrowing base redetermination and our lenders unanimously reaffirmed our borrowing base of $1.1 billion with the elected lender commitments remaining at $900 million. Our liquidity today is more than sufficient to fund any development needs we might have for the foreseeable future and provides tremendous flexibility from a financial perspective going forward as we are positioned to be opportunistic should situations arise that allow us to capture value for our stakeholders.  As we close out 2023 and look ahead to 2024, we forecast continued significant free cash flow generation and common share repurchases will remain a key part of our return of capital strategy given the unrecognized value we believe remains in our equity. During the third quarter, as John mentioned previously, our board of directors increased our common stock repurchase authorization by 63% to $650 million. As of October 26, we had repurchased approximately 3.9 million shares of our common stock at an average share price of $86.14, lowering our share count by 13% at a weighted average price more than 30% below our current share price.  We currently have approximately $315 million of availability under the $650 million share repurchase program and plan to continue to return substantially all of our adjusted free cash flow to shareholders through common share repurchases, excluding the discretionary acreage acquisitions John mentioned earlier for the foreseeable future.  To better highlight the free cash flow generation potential of Gulfport, we have provided additional details on slide 7 of our investor presentation, illustrating the peer-leading free cash flow potential and capacity of Gulfport to return value to shareholders over the next five years, all before taking into account the significant upside opportunities detailed on the slide. In short, the operational successes of 2023 should deliver best-in-class free cash flows for the years to come, and we have both the desire and the resources to continue returning cash to shareholders for the foreseeable future. In summary, this is an exciting time to be a part of Gulfport. This year's program is delivering on all fronts, and we look forward to continued progress both operationally and financially as we move forward.  We have delivered more with less, and we believe our best days are still ahead of us. And perhaps most importantly, we generate premium free cash flow yields that deliver value to our investors, and we have the five-year free cash flow capacity capable of retiring our market cap at its current level. With that, I will turn the call back over to the operator to open up the call for questions. 
Operator: Thank you. We will now conduct a question-and-answer session. [Operator instructions]. Our first question comes from Bert Donnes with Truist Securities. Please proceed. 
Bertrand Donnes: Hi. Good morning, guys. Just wanted to get your thoughts on the M&A space. And you guys traded a discount. Maybe you guys would be the next one for consolidation in the Northeast? Secondly, if you're considering out of basin opportunities? Thanks. 
John Reinhart: Hi. Yeah. Thanks, Bert. I appreciate the question. as we focus, I guess, twofold, first of all, inwardly as far as the Company goes to create value for our shareholders. And we fundamentally believe by, taking what we believe is a highly attractive asset base and developing this in a very prudent manner, delivering some high quality margins, generating free cash flow, positions the Company very attractively. Not only from a, smaller scale space, but a very good free cash flow capability. And quite frankly, just an overall value kind of opportunity in the general space.  So, we're very focused on optimizing the free cash flow, position the Company, keeping it healthy, which gives us optionality to actually look strategically and tactically at things. As far as the general space, we're very pleased as far as the discussions that are happening in general by consolidation, I think overall we certainly believe that consolidation just across the U.S. is going to happen and will continue to happen.  And we want to position the Company as best as we can in the future to be able to take advantage of anything that's going to meaningfully enhance the shareholder value for the Company. 
Bertrand Donnes: Thanks. And, just a second question. Just on efficiencies, you guys continue to do very, very well. Could you just speak to maybe is it more on just the completion side? Is it on the sort of the pad design? Maybe could you give me a little bit more color? Because again, it's certainly going to be notably improved, over the last several quarters, which is great to see.  And I'm just wondering where do you think most of that will continue to come from? 
Matt Rucker: Yeah, thanks. This is Matt. I'll take that one. We're certainly seeing it really across the board. in our drilling side, as John mentioned, we set records kind of subsequent to the quarter around the longest lateral drill in the Company and also the fastest days over 15,000 feet. So, we've seen meaningful improvement there with the teams. On the frac side and the drill outside, we continue quarter of a quarter to just enhance the capabilities there. really to my knowledge, some of the best hours in the basin, I think you'll see across the board on pumping hours and then drill out, 35 plugs a day or 6,300 feet per day is pretty meaningful and impactful. And all of those things together help us reduce those cycle times and generate that cash flow much faster.  So, I've been really pleased with the, a lot of changes here. The new teams with the first full quarter under their belt have really delivered. We continue to focus on ways to continue to optimize that. 
Bertrand Donnes: Great to hear. Thanks, y'all. 
Operator: The next question comes from Tim Rezvan with KeyBanc Capital. Please proceed. 
Timothy Rezvan: Good morning, everybody, and thanks for taking my question. I wanted to start on what seems to be the start of a pivot into, more higher liquid skew in your production. We noticed 3Q, I think you were about 8% liquids, which was the lowest we've seen post-restructuring. So, I'm just trying to understand, John, is that a well-level returns decision? Is that an inventory kind of opportunity set decision?  Are you a little more less bullish on gas than maybe some others? Just trying to understand what's driving that pivot and how maybe -- I know you're not going to give 2024 guidance, but how we could think about the liquid skew sort of growing? It's probably going to outpace total production. Just trying to understand how that looks over the next one to two years and what's driving that decision? 
John Reinhart: Yeah, thanks, Tim. Appreciate the question. Appreciate your participation on the call. we're in a very fortunate position at the Company to have many different toggles that we can pull on. We have a very good high-quality liquids-rich skew. We have some very high-quality liquids with Utica, as well as some new Marcellus and some great dry gas.  So as the Company sits today, there's just not a lot of external to motivators for us outside of economics to drill one way or the other, meaning we don't have a lot of onerous FT, we don't have a lot of MVCs, we're not out there holding acreage. So, for us, as we tend to look at capital allocation, it's truly an economic perspective. This is a process that we go through, of course, every budget time and even during the year.  So, as we have these many different options, it is more of an economic decision with the current pricing looking out one to two years what that will deliver. And the great thing about having all these toggles as we move forward into '24 and into '25 is we see certainly the gas backwardation kind of be realized in higher prices. That will most definitely lean towards our leaning in probably more on gas in the future. So, for us, it's purely economics.  Oils had a good run lately. We feel very confident in the well results and the high-quality asset base in the economics. So, we're going to lean in on that more than likely when we come out with our '24 plan here in February. But certainly, we're open to adjusting and moving forward to, depending on what commodity price is doing, where economics takes us. 
Michael Hodges: Yeah. And Tim, this is Michael. I might just add as far as the production profile going forward, I think in 2024, a lot of the activity that John's describing likely doesn't impact our actual production until the second half of the year. So, if you think about, to your comments around the, the liquids weighting, I think you start to see that change a little bit late in the year. But really, it's in 2025 where you likely see the impact and a little bit more of a liquid weighted production profile for the Company.  So, I'd say relatively similar in '24 to '23, gas versus liquids. And then you'll start to see a little bit of a pivot in '25, most likely. 
Timothy Rezvan: Okay. I appreciate that color. And then as we think about hedging, you have a pretty optimal position, it seems. You're about roughly half hedged next year at $4. As you look out beyond 2024, you have a pretty more attractive strip, roughly $4. Again, you've been hedging at that level. Do you see 50% as kind of that target level, or as you get kind of bigger and your balance sheet strengthens, you feel less of a need to hedge? Just trying to understand how you're thinking about that longer term. 
Michael Hodges: Yeah. Yeah. Great question, Tim. So, I think, as a business, we feel really good about where the balance sheet sits with the low leverage profile. I think we feel really good about the fixed cost. John mentioned that we don't have a lot of external factors that force us into decisions. And so certainly that de-risks the operational side of the business a little bit. So, I think, to your point, we feel like 2024 is, it's looking better than '23, but also a bit of a transition year for natural gas.  So, we do have what we feel like is a very attractive hedge book in place. And we've increased it slightly over the last quarter, but feel pretty good about where it sits. For 2025, I think we're more bullish on gas. we've talked publicly before about wanting to be in a range of, of hedging percentages, something in that 30 to 70%. I think, to the extent that we're bullish and there's opportunities for gas prices to look strong, we may lean a little bit towards the lower side. But as I mentioned in my comments, we have added some hedges in 2025 just to make sure that we're being prudent and protecting at least a certain amount of our cash flow.  So, I guess I would say I'd bias us a little bit towards the low end of our range. But certainly, going to be monitoring the macro. And if things start to change, we'll take the opportunity to adjust those decisions going forward. 
Tim Rezvan: OK, I appreciate the comments. Thank you. 
Operator: Thank you. Our next question comes from Doug Leggett with Bank of America. Please proceed. 
Douglas Leggett: Good morning, guys. First of all, I think we've got to acknowledge the step change that you promised the market on efficiency is obviously showing up, compared to Legacy Gulfport. I'm curious, whoever wants to take this, how much further do you think you have to go and where do you think you are?  And, in terms of that trajectory of you're down 35% on both basins at this point, what's the aspirational target? 
John Reinhart: Well, I think as we look at the efficiency gains, we're very pleased at the progress to your point here today and appreciate the comment. as the team starts to mature and gel, this team's been together probably, nine months, probably seven months in the field. I would probably say we're, 40% to 50% into the efficiency kind of cycles as we see opportunities to further improve. There's certainly some more wood to chop here as we move forward.  You know, service costs, addressing service costs, renegotiating contracts, farther kind of eliminating dead time in between cycles and just overall kind of shrinking that cycle time, that spud that turned to sales time. So, again, appreciate your comments and the acknowledgement on the improvements. But there's certainly some more opportunities that we feel like, especially looking down in the scoop as we've started, as we're looking forward to actually developing that asset this year.  We're very happy about taking the learnings that we've learned from the Utica and applying those to the scoop to make what is already an attractive asset and very good returns a lot better. So, more to come on that this year as we start development in the scoop. 
Douglas Leggett: As you can imagine, there's an agenda behind my question, and it's basically your definition of maintenance capital, the 435 to 455. So, what I'm really trying to get a handle on is if you deliver, if you're only halfway through what you think your efficiency gains could be, what does that imply then for the level of capital necessary to meet your program? Presumably, '24. 
John Reinhart: You know, it's a great question. What I would say is we're pleased with the results here today. We certainly see there's some more improvements as we look forward into '24 and beyond. right now we're in the middle of finalizing some contract negotiations with regards to service price. So, as far as us coming out with what that will look like next year, that will have to wait till February when we roll out the '24 plan. But to your point, we feel very comfortable that the capital efficiencies that were gained this year will be carried into next year with further improvement. 
Douglas Leggett: Fellas, if you don't mind, can I squeeze in a third one? It's a very quick one. You made the comment about your cumulative free cash flow. you could retire your market capitalization. But obviously, that's a big statement. How realistic, how aggressive do you really think you're going to be given your hedge position in '24 in particular as it relates to buybacks and return of capital? I'll leave it there. Thanks. 
Michael Hodges: Yeah. Hey, Doug, this is Michael. I'll take a shot at that one. Appreciate the question. I think 2024, again, a little early on any guidance. But as we sit here today, a similar strategy likely for the Company is what we employed in 2023. So, we go through a very rigorous process with our board of directors and evaluate all the potential uses of our free cash flow, whether that be additional acreage opportunities, whether it be share repurchases, opportunities on the balance sheet side to improve there.  And I think, as we sit here today, our shares we feel are undervalued and we feel like that's an extremely attractive use of free cash flow. So, I would expect that 2024 is very similar to 2023 from that strategy perspective. And, if we can capture opportunities like the discretionary acreage acquisitions we did this year, that's also very interesting and attractive to us. But to the extent that those are not available, I think our shares become one of our most exciting opportunities to return value.  So, I think long story short, likely very similar to where we sit today. 
Douglas Leggett: Thank you, guys. Appreciate the answers. 
Operator: Once again, ladies and gentlemen, to ask a question, please press star one on your telephone keypad. Our next question comes from Chris Baker with Evercore ISI. Please proceed. 
Chris Baker: Hey, good morning. A lot of good questions asked already, but just wanted to touch on the strategic acquisition opportunity set from here, just in terms of what you're seeing beyond what's already been identified. I guess, is this should we think about this as a recurring piece of the story? Thanks. 
John Reinhart: Yeah, no, Chris, that's a really good question. I think we've been very fortunate this year and very pleased with the results here to date with the $40 million targeted spend that we announced earlier in the year with the progress we've made. This is really good, high quality liquids, rich acreage that we've targeted this year. It was I wouldn't call it a unique opportunity set, but it was a very good position that was that allowed us to block up a lot of chunky positions to facilitate near term drilling.  As we move forward, I think we'll certainly be mindful and aware of some of those opportunities, but I wouldn't necessarily classify it as an annual reoccurring kind of land spend. These acquisitions as they as they pop up and they are an opportunity for the Company to take advantage of, certainly the board and management will consider the value proposition that that proposes and consider it. But as far as moving forward, I would I would definitely assume more of a normal cadence land spend that typical $50 million to $60 million of maintenance type land as we move forward. So hopefully that answers your question. 
Operator: There are no further questions in queue at this time. I would like to turn the call back over to Mr. John Reinhart for closing comments, please. 
John Reinhart: Thank you for everyone to for the time to take and join our call today. The team continues to improve business fundamentals, which further positions Gulfport Energy as an attractive investment with optionality tactically and strategically for continuing value enhancement. Should you have any questions, please do not hesitate to reach out to our investor relations team. 
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation and have a great day.